Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Partners' Fourth Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, February 24, 2015. I would now like to turn the call over to today's host, David Hansen, Westlake Chemical Partners’ Senior Vice President of Administration. Sir, you may begin.
David R. Hansen: Thank you very much. Good morning, everyone, and welcome to the Westlake Chemical Partners' Fourth Quarter 2014 Conference Call. I’m joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer; and other members of our management team. The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake Chemical Partners' performance in the fourth quarter and a current outlook on our performance and opportunities. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and we will open the call up to questions. Unless otherwise noted, all numbers that are referenced today for post Initial Public Offering Period or post IPO period will be for the period following the close of our IPO that occurred on August 4 through December 31. At times, we may refer to ourselves as Westlake Partners or the partnership, reference as to Westlake Chemical referred to our parent company Westlake Chemical Corporation and reference as to OpCo referred to Westlake Chemical OpCo LP who’s assets consistent two ethylene production facilities located in Lake Charles, Louisiana, an ethylene production facility located in Calvert City, Kentucky and an ethylene pipeline that runs from Mont Belvieu, Texas to Longview, Texas chemical sites. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus, are subject to risks or uncertainties. Actual results could differ materially based upon factors including the cyclical nature of the chemical industry; availability, cost and volatility of raw materials, energy and utilities; governmental regulatory actions and political unrest; global economic conditions; industry operating rates; the supply-demand balance for Westlake Partners' products; competitive products and pricing pressures; access to capital markets; technological developments; and other risk factors. This morning, Westlake Partners issued a press release with details of our fourth quarter financial and operating results. This document is available in the Press Release section of our webpage at wlkpartners.com. A replay of today's call will be available beginning four hours after completion of this call until 11:59 p.m. Eastern time on March 3, 2015. The replay may be accessed by dialing the following numbers: domestic callers should dial (888) 286-8010; international callers may access the replay at (617) 801-6888. The access code for both numbers is 17902631. Please note that information reported on this call speaks only as of today, February 24, 2015, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed at our web page at wlkpartners.com. Now, I would like to turn the call over to Albert Chao. Albert.
Albert Y. Chao: Thank you, Dave. Good morning ladies and gentlemen, and thank you for joining us on our earnings call to discuss our fourth quarter results. In this morning's press release, we reported consolidated net income, including OpCo's earnings of $94 million for the fourth quarter of 2014. We own 10.6% of OpCo, and so the net income attributable to the limited partners was $9 million. Since our IPO in August 2014, this quarter represents our first full quarter of operations. Our ethylene units operated well during the quarter and our average operating rates were higher than industry as reported by industry consultants, resulting in strong and stable cash flow for the quarter. I would now like to turn the call over to Steve to provide more detail on the financial and operating results for the fourth quarter.
M. Steven Bender: Thank you, Albert, and good morning, everyone. In this morning's press release, we reported net income attributable to Limited Partners for the fourth quarter of 2014 of $9 million or $0.32 per limited partner unit. We also reported MLP distributable cash flow of $9 million for our first quarter versus full quarter of operations. Long-term ethylene sales agreement between OpCo and our parent Westlake Chemical provides a stable fee-based cash flow, which is insulated from oil and ethylene price volatility risk that represents 95% of our ethylene sales. This sales agreement is set in a cash margin of $0.10 per pound of ethylene passing through all other cost. This ethylene contract structure is very important as it provides us a stable fee-based cash flow stream and is designed to provide us the means to grow distribution while maintaining the conservative coverage ratio. We have substantial liquidity and a conservative leverage structure with a financial and operating backing of our investment grade rated parent, Westlake Chemical. For the 2014 post IPO period, consolidated net income including OpCo was $148 million, net income attributable to the Partnership was $14 million, or $0.50 per limited partner unit, and MLP distributable cash flow was $14 million. On January 30, we declared a quarterly distribution to unit holders of $0.2750 per unit representing a coverage ratio of 1.15 times coverage with respect to our MLP distributable cash flow for the fourth quarter of 2014, in excess of our targeted annual average coverage ratio of 1.1 times, which we have previously guided. At the end of the fourth quarter, we had a consolidated cash balance of $134 million, of which $132 million was at OpCo and $2 million was at the Partnership level. Long-term debt was $228 million, all of which was at the OpCo level leaving us debt free. OpCo is well capitalized with a $600 million line of credit to fund growth opportunities and we’ll use a portion of this line to fund the expansion of our Petro 1, ethylene unit in Lake Charles that we are planning in the first half of 2016. Please see the schedules attached to the back of your earnings release for the definition of MLP distributable cash flow and for reconciliation to the full-year's performance, which combines results of Westlake Chemical Partners with those of its predecessor. Now, I would like to turn the call back over to Albert to make some closing comments. Albert.
Albert Y. Chao: Thank you, Steve. We had a successful fourth quarter which represents our first and full quarter of operations. Our fourth quarter results demonstrate a stable business supported by fixed margin ethylene sales contract with Westlake Chemical that is not affected by direct ethylene and oil price exposure. This should result in stable cash flows and a strong foundation for growth. The take or pay fixed margin arrangement insulates 95% of our ethylene sales volume, and hence the majority of our cash flow from the volatility in ethylene prices and feedstock costs. Looking forward, we have four levers to grow MLP distributable cash flow. First, through periodic dropdowns of the remaining approximately 90% of OpCo's interests into Westlake Partners; second, through organic growth opportunities such as our Petro 1 ethylene expansion at our Lake Charles site that we have planned for the first half of 2016; third, by negotiating a higher fixed margin in our ethylene contract with Westlake Chemical; and fourth via external acquisition opportunities either as Westlake Partners or jointly with Westlake Chemical. The stability of our cash flows along with the four levers of growing MLP distributable cash flow provides us the opportunity to generate long-term value growth to our unit holders. We continue to assess opportunities to build upon our growth strategies and are moving forward with our plans for the expansion of our Petro 1 ethylene unit in Lake Charles that's planned for the first half of 2016. This project will expand our ethylene capacity by approximately 250 million pounds annually, and through our fixed margin sales arrangement, this project will be immediately accretive to our unit holders. Thank you very much for listening to our fourth quarter earnings call this morning. Now, I would turn the call back over to Dave Hansen.
David R. Hansen: Thank you very much Albert. Ladies and gentlemen, before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting four hours after we conclude the call. We will provide that number again at the end of the call. Operator, we're now prepared to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Brian Maguire from Goldman Sachs. Please go ahead.
Brian Maguire: Hi good morning.
Albert Y. Chao: Good morning.
Brian Maguire: Hey Albert, I was hoping you could provide some updated thoughts on the timing for the first dropdown from the parent, you know buying an additional stake in OpCo seems like the most obvious way to grow the distribution in the near-term, just any thoughts on the timing and size of that first dropdown?
Albert Y. Chao: Certainly, at our IPO, we said that we plan to grow our distributable cash flow by dropdowns and other ways within a year of IPO. So this is our plan and we're working towards that.
Brian Maguire: Okay, any restrictions on you that would prevent you from doing that now, is there any window that you need to fit it into besides the one-year period you just described?
M. Steven Bender: Brian, this is Steve. No, the answer is that we continue to march forward as we've given guidance that we would do that drop well within that first year of the IPO, and that certainly is still very much our intent.
Brian Maguire: Okay, and then do you have an outlook for maintenance and growth CapEx for 2015?
M. Steven Bender: Well remember, those costs are being funded by OpCo, and we have a mechanism under our contract mechanic where those costs are reimbursed on a monthly basis, so maintenance costs and all of those all flow through completely, and so this again is going to be a very stable stream, because all those maintenance costs and such completely flow through on a monthly basis back to Westlake Chemical. And of course, as I gave guidance, the expansion capital has a line of credit from Westlake Chemical to OpCo that we use to fund that expansion related to capital.
Brian Maguire: Okay. Thanks very much.
Albert Y. Chao: You are welcome.
Operator: Thank you for your question. Your next question comes from the line of Robert Balsamo from UBS. Please proceed.
Robert F. Balsamo: Hey guys, thanks for taking my call. Just a quick question, Albert, I think you just mentioned potentially increased margin on the contracted fee between Westlake Chemical and the Partnership. I don’t believe you have addressed that in the past, is that something new that you guys are contemplating and maybe you could talk about the situation where that would, you know…?
Albert Y. Chao: Yes, this is one of the four levers that we can grow distributable cash flow and dropdown organic expansion like we’re doing with the Petro 1 expansion. Certainly, we can increase - currently there is a $0.10 margin, we can increase that margin and lastly through acquisition. So there are four levers we can use.
Robert F. Balsamo: Okay. Is there a certain environment that would particularly drive you to increase that margin just to drive distribution growth or if the ethylene margins got narrower on the 5% that’s not contracted or is there a certain benchmark where you keep an eye on that might be a driver of that decision?
Albert Y. Chao: Well certainly the first three namely, the dropdowns, the increased margin, the expansion are within our control. The fourth lever acquisition, depending on the sell side opportunity as well are those three we can do it as conditions warrant such as the expansion that we are doing now .
Robert F. Balsamo: Okay, great. Thank you.
Albert Y. Chao: You are welcome.
Operator: Thank you for your questions. There are no questions waiting. [Operator Instructions] the next question comes from the line of John Roberts from UBS. Please proceed.
John Roberts: Good morning guys.
Albert Y. Chao: Good morning John.
M. Steven Bender: Good morning.
John Roberts: I wanted to follow-up as well on that potential to increase the $0.10 a pound margin. Why would a public shareholder of the parent company want to see that happen? Most of the income comes back into the parent company, so I would assume it’s sort of neutral from that perspective, but more income would flow out to the Partnership owners. So how do you trade that off?
Albert Y. Chao: Well, certainly if the parent OpCo is giving value to MLP, MLP has to pay for it someway.
John Roberts: Right, and how would that be?
Albert Y. Chao: That will be negotiated between the Conflicts Committee at MLP and with the parent.
John Roberts: Would it in ownership interest, or some sort of one-time cash adjustment, or how would you envision the transaction occurring?
M. Steven Bender: John this is Steve, the way that would work would be an amendment to the existing ethylene agreement if that were ever negotiated, and so it would be an amendment to the ethylene agreement, which is where the current margin sits.
John Roberts: Or you would have to adjust something in the agreement to trade-off against the higher margin right?
M. Steven Bender: Yes, of course. So what would happen at the negotiation as Albert outlined between the parent and the Conflicts Committee, they would exchange value for that amendment to the contract.
John Roberts: Okay. And you would envision it all happening within the context of the contract, so some other term on the contract would change in adjustment for that?
M. Steven Bender: Well that’s part of the discussion, so it would be an exchange of value and that value can be done in lots of different ways, it could be, let’s say units, it could be other terms and conditions within the contract.
John Roberts: Okay.
M. Steven Bender: It could certainly be a lot of parameters. It’s just a negotiation of how you exchange value between two partners - between two parties.
John Roberts: Okay. Great, thank you.
Albert Y. Chao: You are welcome.
Operator: Your next question comes from the line of David Grumhaus from Duff & Phelps. Please proceed.
David D. Grumhaus: Good morning guys.
M. Steven Bender: Good morning.
Albert Y. Chao: Good morning Dave.
David D. Grumhaus: Two question for you. First can you talk a little bit about what you are seeing and what your outlook is for the margins on the 5% of third-party sales, and then secondly would love to get your take on what the external acquisition market might look like given some of the upheaval we've had in commodity prices?
Albert Y. Chao: Yes, certainly the margins -- the prices for ethylene has dropped in the recent months, but as oil price has firmed up, potentially the price has to move up also. So it’s quite volatile, but it’s only 5% of the revenue, of the volume, so it is not a major impact on that.
M. Steven Bender: And in terms of opportunities as we see in the marketplace, we continue to assess growth opportunities. As Albert outlined, there are four levers of growth and acquisition opportunities is one of those four levers, and we continue to assess those opportunities on an ongoing regular basis.
David D. Grumhaus: Any sense of whether you are seeing more or less given some of the changes in the commodity prices?
M. Steven Bender: Its probably too early to gauge at this stage, but we'll continue to watch, I mean our view is we've got three of those four levelers within the ability to work with Partners and Westlake Chemical, our sponsor, in that negotiation process to achieve that growth in distributable cash flow. So, I don't feel concerned about having to manage a growth opportunity through acquisition, because there are so many other ways in which we can grow that distributable cash flow without those occurring.
David D. Grumhaus: That makes sense. Thanks.
Albert Y. Chao: You are welcome.
Operator: Thank you for your questions. At this time, the Question-and-Answer Session has now ended. Are there any closing remarks?
David R. Hansen: We would like to thank you again for participating in today's call. We hope you will join us again for our next conference call to discuss our first quarter 2015 results. Have a wonderful day.